Operator: Welcome to the Triple-S Management Third Quarter 2017 Conference Call. [Operator Instructions] I will now like to turn the conferences over to Kathleen Waller. Please go ahead.
Kathleen Waller: Good morning, Steve. Good morning. Welcome to today's third quarter 2017 conference call. With us today are your host, Bobby Garcia, President and Chief Executive Officer; Juan Jose Roman, Executive Vice President and Chief Financial Officer. Also in the room are Madeline Hernandez, President of Managed Care; and Liliana Rivera-Corcino, Corporate Controller. I'm sure all of you have heard the Safe Harbor statements before, but we still need to get this housekeeping issue out of the way. Each quarter Triple-S Management Executives will provide their current view of the company's future. This means that they will be sharing forward-looking information with you. As you know, these statements can be affected by the risks and uncertainties involved in the business. Despite management's best efforts, what actually happens may be materially different from what you hear on today's call. To get a better understanding of why this may occur, please look at the Safe Harbor statement in the section of today's news release or in the company's periodic filings with the SEC. In addition, the information shared on this call should be considered current only as of today. After today, please use this information for your reference only, and remember that the company assumes no responsibility to update it. This call is being webcast. And shortly after it ends, you will find an archived version on the Investor Relations page of the company's website at www.triplesmanagement.com. If you do not have a copy of today's news release already, you can either find one on the company's website or you can call me, Kathy Waller, at 312-543-6708, and I will get one to you immediately. And also, we can add you to our distribution list and one-on-one list going forward. With that, I'd like to now turn the call over to Bobby Garcia. Please proceed, Bobby.
Bobby Garcia: Thanks, Kathy, and good morning everyone. Thanks for joining us today as we review our results for 2017 third quarter. Let me start by saying we are pleased with our performance in what remains a challenging environment for Triple-S and everyone in Puerto Rico. My goal today is to provide insight into our quarterly results and an update on our operational status, as well as the Island’s broader recovery in the aftermath of hurricanes Irma and Maria. Juan Jose will then provide you with more detailed review of our financial performance. For the three months ended September 30, total operating revenue was $731.1 million down 1% from a year ago and earnings per share came at $0.91 compared with a net loss of $1.9 million or $0.08 per diluted share for the same quarter last year. These quarterly results largely reflect ongoing improvements in our Managed Care operations and the fact that last year's third quarter included a significant unfavorable reserve development. The results were also impacted by Irma and Maria two major hurricanes that struck Puerto Rico within two weeks of each other causing a sizable increase in property claims and decreased in medical utilization. The net effect of these events for the quarter was an increase of $2 million or $0.09 per diluted share. Before addressing hurricane recovery, I'd like to remind investors that our property and casualty business has a robust reinsurance program that limits our exposure to catastrophic events. Given our P&C portfolio and based on modeling estimates, we believe we are adequately covered by our existing reinsurance policies. Juan Jose will provide more detail in his financial overview. We're sure investors would like to know how the Island is currently fearing given the many and sometimes conflicting news reports. From a company perspective, Triple-S was fortunate as our facilities and infrastructure experienced only minor damage. We resumed limited operations several days after Maria struck and within a week and half the company had returned to a normal schedule. From a macro perspective, the Island has made significant progress with gasoline and diesel supply chain highway infrastructure and water service. Most roads and highways, the largest ports and airports are operating at close to normal capacity. Approximately half of cell phone antennas are working, 83% of people have access to running water, and nearly all grocery stores are now opened. In general terms, recovery has been quicker in around the San Juan metropolitan area. Continuing challenges with respect to electricity and telecommunications have however made day-to-day activities for both businesses and households difficult particularly in rural areas. PREPA Puerto Rico's electric utility is generating capacity at about 40% which is an improvement compared with 10% or so two weeks ago. Ultimately the long-term impact of Hurricane Maria is highly dependent on the pace at which the electrical grid is restored. The federal government has approved a major disaster declaration for Puerto Rico and the Federal Emergency Management Agency announced that federal disaster assistance has been made available to the government of Puerto Rico. FEMA has awarded approximately $500 million in emergency relief assistance to individuals, public corporations and municipalities in Puerto Rico. These federal funds will be an important factor in the island’s recovery. Congress approved a relief package that includes a $4.5 billion in loans to improve the Puerto Rico government’s liquidity position in the short-term. Rebuilding process is now underway and the pace of activity has been accelerating. FEMA and the U.S. Army Corps of Engineers has already dispersed nearly $600 million to private contractors primarily for infrastructure restoration projects. More recently, President Trump signed a $36.5 billion emergency aid measure to replenish disaster accounts that were depleted by the storm's that ravaged not only Puerto Rico but Florida and Texas as well. While rebuilding efforts are moving forward, people continue migrating from the Island and many companies have been forced to temporarily downsize in light of the economic consequences of the hurricane. While there is still considerable uncertainty as to what the ultimate long-term impact will be, these trends could affect our commercial membership. As far as Triple-S is concerned, our network is steadily getting back to normal. 90% of our hospitals are now fully operational, as our 98% of our dialysis facilities and 87% of our primary care and practices. About 60% of specialists and 77% of labs in the network are up and running and pharmacy claims are being processed at near pre-hurricane levels. From the beginning of this crisis, our mission has been to work proactively and aggressively, our member outreach efforts particularly with the elderly and most fragile populations with the goal of reconnecting them with their doctors as quickly as possible. We've also established hubs in different locations throughout Puerto Rico to facilitate electronic claims processing for providers which represent the vast majority of submissions. Our paramount concern in the days and weeks following hurricane Maria was the safety and well-being of our employees and their families, our provider network and our membership. Despite the hardship and distractions associated with these natural disasters we have not lost sight of our strategic agenda nor clinical and cost containment initiatives we've been pursuing as part of the transformation we launched in 2015. [Indiscernible] several initiatives have been implemented and others are on track to be completed by early 2018. Among them we've completed capitation arrangements in home healthcare, [patient] [ph] care, and [global] [ph] medical equipment. We re-contracted the ESRD network and began transitioning membership and we contracted Optum to implement a digital innovation strategy which includes IT, application development and claims processing services. We entered this year's annual open enrollment period with a competitive product offering aided by the incremental revenue associated with the four-star rating in our HMO products. You may recall that four-star plans receive a 5% bonus applied to the county benchmarks used in premium calculations, as well as a higher share our rebates. Our PPO product retained 3.5 stars with a five point score in Part D. Marketing directly to consumers has been difficult in the aftermath of Maria however, but the open enrollment period Island wide has been extended to December 31. Turning to Medicaid, Triple-S agreed to further extend its Medicaid contract with Puerto Rico government through November 2017 for the two regions it currently serves due to the disruption Hurricane Maria caused in the negotiations of certain noneconomic terms under the new contract which will run through June 30, 2017. As you may recall, we extended last fiscal year's contract from July 1 to September 30 so the parties could complete these negotiations. We expect them to resume shortly. As a reminder, premiums were increased in the Metro North and West regions by 10.5% and 7.6% respectively. The new rates which the Puerto Rico health insurance administration has certified as actuarially sound are still awaiting CMS approval. With respect to Medicaid funding, Triple-S continues to work closely with industry stakeholders and lobbyists to encourage Congress to find a permanent solution to funding constraints within U.S. territories. Policymakers are aware that the hurricane damage has exacerbated the significant challenges the island has historically faced when it comes to leveraging public healthcare spending and Medicaid funding. Recovery efforts following natural disasters have also provided the local government and the healthcare industry a renewed opportunity to seek short-term relief through legislation that is signed into law with provide disaster emergency funds for restoration some of which would be earmarked for healthcare. In addition, the CHIP reauthorization bill which is awaiting U.S. Senate approval includes $1 million in Medicaid funding for Puerto Rico. This funding is contingent on physical board certification for fraud prevention and cost containment measures have been effectively implemented by our Puerto Rico government as part of the program. These funds will extend the funding of the health and insurance program with the government beyond the current fiscal year which ends June 30, 2018. The bill is now under consideration of the U.S. Senate. As Puerto Rico concentrates on recovery, we remain committed to enhancing its health and well-being through value-based integrated delivery models, leveraging our long-standing market leadership and our affiliation with the Blue Cross Blue Shield Association. Company is finding innovative ways of adapting its legacy business for the evolving landscape and identifying new sources of growth. Despite the disruption, the aftermath of hurricane Maria, Triple-S remains committed to its strategic agenda and its long-term objective of creating substantial shareholder value. Juan Jose will provide you now with more specific financials and business update.
Juan Jose Roman: Thank you, Bobby. I would also like to add my welcome to everyone on this call. I will focus my discussion on the Managed Care segment's quarterly results, as well as the impact of hurricanes Irma and Maria had on our financial performance. As Bobby mentioned we're pleased with our performance this quarter. Net income this quarter was $21.9 million or $0.91 per diluted share versus a net loss of $1.9 million or $0.08 per diluted share for the same quarter last year. These reflects ongoing improvement in our Managed Care operations and the negative impact on the company's 2016 third quarter results from unfavorable prior period reserve developments of $27 million or $0.67 per share compared with 3 million or $0.08 per share of favorable reserve development recognized during this quarter. The results were also assisted by the aftermath of hurricanes Irma and Maria. That may seem conductivities so let me now explain in detail the effect that these hurricanes had on our quarterly financial statements. Consistent with our past experience following over catastrophic events, the utilization of Managed Care services is expected to weak in temporarily reviews until our membership on provider network this with the fallout of the storms. The return to normal utilization levels requires the restoration of power and water services, access to providers many of whom were closed for some part of September and October and a return by members to their pre-hurricane routines including their demand for medical services. Many members addressing their immediate thoughts hurricane needs like put off seeking medical attention which is why we believe member demand and provider supply were impacted by the hurricanes. In addition to the expected relation and utilization for the reasons mentioned, the hurricane had a disruptive effect on the entire claim submission, adjudication and payment process. We modify our approach when setting reserve as of September 30, 2017 to take into consideration both the utilization adoption and slow down in claim submission and payment. The total assumptions used to estimate during hurricane caused for the month of September vary by service category specifically we are seeing less interruption for facility claims and large pharmacies and more for smaller providers like doctor's offices. These estimates were based on past experience with other catastrophe events, analyses of daily claims received in the last weeks of September versus usual levels. Management assessment of conditions and their impact on provider supply and member demand for services and actuarial judgment. The approach to self setting implicitly consider any slowdown in submission and processing of claims. We estimate the growing utilization lower the segment quarterly claims incur and MLR by approximately 28 million and 430 late response respectively. In the property and casualty segment, we estimate gross losses related to the hurricane Irma and Marie of 5 million and 613 million respectively. However, after the application of reinsurance the segment estimated net retain losses related to hurricanes Irma and Marie were approximately 3.5 million and 10.5 million respectively. The gross losses estimate was the term used as a primary source it was landfall more and industry recognize firm supplemented by estimates of loss adjustment expenses. We use a version of the model that we will provide estimates will be center piece of the composition of our portfolio. This is an estimate and is subject to uncertainty so ultimate losses will vary importantly we have consistently maintain a robust insurance program which includes excess of loss catastrophe coverage for losses and allocated loss expenses such as the ones experienced this quarter. Innovation net premiums earned has been impacted by approximately 3 million of estimated reinsurance related costs including estimates for catastrophe reinsurance restatement cost. As of yesterday we had received 11,000 claims related to hurricane Marie with initial gross losses of 206 million our catastrophe of insurance program currently covered up to 700 million of gross losses for this event. The property and casualty segment operating loss for the quarter was 11 million which reflects a swing of 15 million for the same period last year and mostly due to significant 17 million of hurricane related cost. As of September 30, 2017 our balance sheet reflects approximately 614 million within claims liabilities as a result of unpaid estimated gross losses related to this event as well as 604 million within premiums and other receivables as a result of catastrophe related losses we cover about from their insurance program. Quarterly consolidated operating expense includes approximately 2 million hurricane related costs as of today we had incurred approximately 550,000 in incremental operating expenses since the quarter ended. In summary the estimated net impact of the year again increased our consolidated net income by 2 million or $0.09 per share. Let me now discuss the Managed Care quarterly results in detail. The managed care premiums for the quarter were 7 million lower than a year ago primarily reflecting last year's Medicaid profit sharing accrual the suspension of the feedback and lower additional Medicare risk score revenue adjustments. These increases were partially offset by higher average premium rate in the commercial and Medicare businesses. In our commercial business premiums earned were 7 million below those of last year mostly due to lower membership and a 3.6 million decrease in premiums related to the suspension of the HIP fee pass-through because of their 2017 moratorium partially reflects by an average premium rate increase of approximately 4%. Contributing to the decreasing commercial membership was approximately 9000 member month or 4 million of premiums generated by the U.S. Virgin Island business last year. At the end of September 2016, with discontinuation of these policies which as a reminder were net profitable. Medicare premiums rose 9 million year-over-year primarily due to an increasing member month enrollment of approximately 24,000 lives offsetting by a 6 million reduction in additional risk of revenue adjustment and lower reimbursement rate in 2017 Medicaid premiums decreased 9 million year-over-year driven by the release of a 2.5% excess profit accrual which increased last year premiums by 16 million a declining member month enrollment of approximately 68,000 lives and 2.8 million related to the suspension of the of the HIP fee pass-through. A favorable impact of higher Medicaid average premium rates which went into effect July 1, 2017 and increase by approximately 9% from last year partially offset this decreases. Managed care claims were down 59 million year-over-year mostly driven by the estimated decrease in membership in commercial and Medicaid businesses generally lower utilization trends and the hurricane related decline in utilization. The MLR was 82.4%, an 110 basis points better than the same period last year. Let me give you more details regarding the MLR for each of the managed care businesses. The commercial MLR was 73.1% approximately a 1400 basis points improvement year-on-year excluding the impact of prior period reserve developments the MLR would have been 75.7% 550 basis points lower than a year ago approximately 570 basis point of the decrease is related to the estimated decline in utilization caused by the hurricane. As mentioned in previous conference call claims trend in this business continue to be stable reflecting single digit percentage increases. The Medicare MLR improved slightly over 1000 basis points to 83.3% excluding the impact in both periods of prior period reserve developments and moving the regional Medicare risk per revenue adjustment to their corresponding periods the recasted MLR – would have been 85% a 250 basis point improvement from last year. This improving results primarily from the estimated hurricane related decline in utilization which lowered the adjusted MLR by approximately 580 basis points and partially offset by roughly 330 basis points increase resulting from the improved benefit in our 2017 Medicare product offerings which was responsible for 200 basis points of the increase and higher than expected pharmacy benefits trends. The Medicaid MLR was 91 100 basis points higher than last year excluding the impact of prior period reserve development and the profit sharing accrual the MLR would have been 90.6%, 50 basis points as of our last year primarily driven by increased pharmacy and operation claims trends. The higher trends were offsetting in part by the estimated decrease in utilization caused by hurricane which lower the adjusted MLR by approximately 50 basis points. Let’s move of the segment quarterly operating expenses, operating expenses were down $4 million from a year ago the decrease reflects the $12 million decline in health insurance provider fees due to a 2017 tax holiday offsetting part by increases in personal costs, provision for doubtful accounts, hurricane related expenses and other general operating expenses totaling approximately $7 million. Lastly let me share some brief comment on our life insurance settlement. Life insurance premiums rose 5% year-over-year reflecting an increase in our fee insurance premiums and premium growth in the segment individual light and cancer lines of businesses. The segment operating income was 4.5 million up 200,000 year-over-year. Consolidated income tax expense was 11.8 million an increase of 19.7 million from the prior year period primarily reflecting a significant increase in the managed care segment taxable income which has a higher effectively tax rates than the other businesses. Our balance sheet remains strong with a 1.5 billion investment portfolio as of September 30, 2017 and limited exposure to Puerto Rico government obligations. At quarter's end Puerto Rico government obligations have a fair value of 8 million and represent less than 1% of the portfolio. All of these positions are escrow bond collateralized with the U.S. obligations and are not exposed to Puerto Rico credit risk. Finally, during the quarter we repurchased approximately 539,000 Class B common shares on that our new $30 million share repurchase program for an aggregate cost of $12.6 million. We have continually purchasing shares in the fourth quarter and as of November 7, 2017 has repurchased an additional 32,000 shares for an aggregate cost of 7.7 million. We will now proceed to our Q&A section. Operator, please open up the call for questions.
Operator: [Operator Instructions] The first question is from Peter Costa of Wells Fargo. Please go ahead.
Peter Costa: Glad to see you’re all still doing well and Puerto Rico's is well on its way towards rebuilding and getting back to normal hopefully, from the hurricanes. I have a number of questions about the P&C business. I am going to start on the Managed Care side if you don’t mind. Let's start with talking about Managed Care in terms of how much do you think the quarter was impacted by care that was delayed and that we’re going to see rebound in Q4 or perhaps early next year?
Bobby Garcia: Yes, it’s still early to tell Peter. What tends to happen in the circumstances is, there is some demand for services that is lost in a sense if - say visits to doctors, maintenance visits, you don't repeat them. But on the other hand there are procedures, especially elective surgery that does get postponed, it’s not lost. So, we will probably see a rebound, the question at this point is how much of a rebound.
Peter Costa: Do you have any way to quantify that any thoughts about that?
Bobby Garcia: No. We’ll have a better sense by the end of the fourth quarter. The effect will be felt over the course of the next several months. By then we can start seeing normalization of the trends.
Peter Costa: In the press release you said your loss ratio is 83.8% if, after you exclude the impact of risk adjustment and PPRD and that was improved by 260 basis points year-over-year. And then you talked about the hurricane having a 430 basis point improvement on MR and that was slightly different MR, assuming it's about the same relative to the - adjusted MR. Does that imply that your MR actually got worse by 170 basis points, if I were to adjust for both the hurricane and the PPRD and risk adjustment?
Juan Jose Roman: That is mostly due or related to the MA business, and it specifically gives us a reminder during this year, we use the saving from the [Indiscernible] fee and [RA] [ph] benefit to our products that by itself represent approximately 200 basis point in our MA business. So, you're right in that sense when we just compare 2017 versus 2016 in the MA we continue to have - the MLR is slightly higher even after all the recasting as compared to last year. So, it’s mostly again is the addition of benefit so you can [Indiscernible] reduction in the operating expenses because of the [Indiscernible] fee but it was used to increase benefits in our MA product. In addition to that we did have some additional Part B trends that are higher than last year that are impacting a little bit our MA. The other part of [Indiscernible] in the Medicaid business there is a slight increase as compared to last year, obviously the first quarter with the new rates but when we compare to last year we have a slight around 50 basis point higher than last year. So those are the main drivers really when you compare both.
Peter Costa: And then the Medicaid contract that’s over at the end of this month is that correct, and do you expect that to be renewed or delayed or do you think you’ll get a resolution with the government going into next year?
Bobby Garcia: Yes, our expectation is will have it solved by the end of this month, [Indiscernible] the Puerto Rico health insurance administration that has been very focused on relief efforts since the passage of hurricane but we have had conversations with them and they've told us we'll be sitting down soon to just work through the remaining terms of the new agreement which are there is several noneconomic clauses.
Peter Costa: Okay, look like you said Part B trend was a little bit higher and you mentioned pharmacy a couple times. Where do you stand on your PBM relationship at this point now that you started working with Optum. Have you started talking to them about using OptumRx as a potential replacement for your PBM?
Bobby Garcia: Yes we haven’t at this point our relationship is focused on Optuminsight and the technology and analytics side of the house and claims processing. We have talked to the market about our intention of doing a RFP for early next year but at this point we haven't made any decision in that respect.
Peter Costa: Now let's move on to the P&C business if you don’t mind. I’m having a hard time figuring out exactly sort of what your exposure is there and I know you've done your best at estimating but we want to see how those estimates evolve going forward given that a lot of the risk going forward is certainly is going to be on business interruption insurance. So can you quantify how much exposure you have in total so the total insured value of the commercial policies that you have enforced today?
Juan Jose Roman : Yes, I don’t have the number in front of me Peter, we do, and I don’t have it in hand right now but the way to see it or let me give you a little bit of feedback what has been going on up to today. So today the majority of our claims relate to property damage. We have been majority especially those are commercial which are the biggest claims mostly related to roof or water the damage on inventory, things like that are the major claims that we’re getting from our commercial accounts and those tend to be the biggest claims. So those as you can expect are faster to get because of the companies are the fastest to get back on business. What probably we’ll take a little longer to see are those related to homeowners. However in the case of homeowners, there is a 2% deductible so there are many that actually are closed without payment because in Puerto Rico houses in general are concrete which usually the losses are more related to water damage or windows or small items, right. And also a significant amount of those policies are also include auto? which tend to be small claims. So probably the biggest and only the business interruption that’s the one that take longer probably at this moment the numbers I mentioned are mostly $200 million reserve that we have set a base on 11,000 claims received, is mostly related to property damage. So we estimate to be around 600 million, 620 million at this point that difference will be mostly some property obviously that will continue to come in but mostly what we have available to cover many of the business interruption. Business interruption as a reminder take longer because what we really need to analyze the financial statement and to see really what is the net impact on the business to determine how much of the policy will cover that business interruption. So yes at this point it’s really hard to estimate. We’re using our models to estimate the total expected losses based on our portfolio and that's how we came out with $600 million. But obviously as time goes we would refresh the model and later on we will switch right to our actual estimate. So probably for Q4 the numbers that we will discuss are mostly based on actual reserve in our books at that time.
Peter Costa: So getting back to that business interruption do all of your commercial policies have business interruption insurance on them and what’s the total - is there some limit to the total number of dollar damage that you could be at risk for if all of those policies had to payout at the maximum level?
Juan Jose Roman : Yes, it depends on the policies right, so it varies - it’s not a fixed or a percentage amount. It varies that sometimes are higher or don't have enough coverage. So, it will vary so the minority do have business interruption coverage, some of them there is a limit, so it’s not - so the policies have a limit how much we cover so there is selling as to how much they can claim and also those policy many of them do have also deductibles. So that's the way it is set in our portfolio.
Peter Costa: I want to have a way to monitor how you're progressing and I’m not sort of getting that feel that I can contract how you’re doing compared to the overall claim damage. So how do I get comfortable that I've seen enough of your claim damage that's come in that we know we have a good amount of process is there a timeframe when people have to get a claim back to you and inform you of the claim so you can see how you're progressing on sort of unknown amount of claims that could come in at this point?
Juan Jose Roman : Well would have estimates right, so we look at previous year again to get a sense as to how many claims we will receive. As I mentioned we have received 11,000 based on previous experience we think that could be close to half of what we’ll receive, that's how 50% or 60% of the expected claims to be received. And the way for us to monitor really is we look at our number of claims and the amount of received claims and based on that we compare with the model. Remember models are very high level right and that include a lot of experience in the U.S. one significant contrast is that intermodal property damage in Puerto Rico they might held these concrete. So usually those structure did not suffer any impact is mostly again window, doors or some of them have ceilings made of wood or metal but the structures per se that include homeowners are made of concrete here in Puerto Rico. So that mitigate a little bit when you compare with U.S. experience and the model include U.S. experience. But bottom line is a way to monitor release based on the number of claims received, the amount what is claimed and that we will have a better sense later on as we progress. The only thing I can mention is that, we receive a significant amount of claims to get to 11,000 in the first month the last week there definitely has been a slowdown that doesn't mean we’re not receiving, we continue to receive claims but it definitely has slowdown that's why based on that and based on previous experience, we think we might get some place around 22,000 claims against still it’s an estimate is based on the past but based on the trend we see that’s what I really I can't share with you today. Obviously we will share more in our next call and in that one for sure would definitely we’ll have a good sense as to what would be number received and the dollar amount or the impact what it will be. But again I want to make sure it’s clear that those policies have limits and those policies because it’s catastrophe have deductibles. So, of those 11,000 many will be closed without any type of payment because they claims will be on their deductibles.
Peter Costa: Of the 600 plus million that you think is there damages, how much of that is business interruption insurance?
Juan Jose Roman : Peter I don't have that right down in front of me, we’ll need to find out that.
Peter Costa: Then lastly on your balance sheet, I know you’d received some cash originally from the reinsurers, I didn’t really see that on the balance sheet can you explain me where that cash is and how that’s being booked?
Juan Jose Roman: Yes. So, as of September 30 we have received - as of that day, $25 million so that is in our cash and cash equivalent in the balance sheet. After that we have received advances an additional $150 million of advances. We have paid as of today only $34 million. So, obviously we will request later more advances, but since we already have 170 and only paid out as of today around $35 million, we will not request from insurers any other advance until we get closer to that $170 million.
Peter Costa: So the 170 million add to the quarter.
Juan Jose Roman: Yes, exactly.
Operator: [Operator Instructions] The next question is from Ron Bauman of Capital Returns. Please go ahead.
Ron Bauman: Thanks for your time and I guess most importantly thanks for all your support for the Island. I had a question focused on the property and casualty operations. Is it safe to assume that the reinsurance will cover - is just shy of the $600 million if something approaching like $590 million is that that the right way to think about it, currently as of September 30, 2017?
Juan Jose Roman: Well, the way to think about it is because of the accounting rules right, we book as the liability and recoverable. Our estimate that was 630 million. So, I don’t know that answered your question, but that's what we book based on gross that's what we have. There is a slight difference right between the liability and the recoverable because of our deductible. But you are right, that’s the way it looks yes.
Ron Bauman: And then how many business insurance policies do you have issued currently that are reinforced?
Juan Jose Roman: Related to the - that have catastrophe coverage in total is around 43,000 policies.
Ron Bauman: And then, if the $600 million - I think $30 million estimate were to worsen how much remaining reinsurance coverage for Maria do you still have in place that's in effect sits above the $630 million?
Juan Jose Roman: We still have around $80 million above our estimate of coverage from reinsurance.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Bobby Garcia for any closing remarks.
Bobby Garcia: Thank you. We hope to have a much clear outlook on 2018 by the time of fourth quarter call. So by then we hope to see electricity fully restored and we should have greater detail as to mid long-term impact from the hurricane. Our thoughts and prayers are with people of Puerto Rico especially all those affected. We continued to work closely with our providers, business partners, to insure our members, and ready access health services, and our clients who promptly paid for their property and insurance claims. We're well-capitalized and adequately positioned to meet the claims tied to hurricane Maria and we continue to execute on our strategic transformation agenda. Thank you very much for your time.